Operator: Thank you. And welcome, everyone, to FormFactor’s Second Quarter 2013 Earnings Conference Call. On today’s call, our Chief Executive Officer, Tom St. Dennis and Chief Financial Officer, Mike Ludwig. Before we begin, let me remind you that the company will be discussing GAAP P&L results and some key non-GAAP results to supplement understanding of the company’s financials. The schedule that provides GAAP to non-GAAP reconciliation is available in the press release issued today and also on the investor section of FormFactor’s website. Also, a reminder for everyone, that today’s discussion contains forward-looking statements within the meaning of the Federal Securities laws. Such forward-looking statements include but are not limited to financial and business performance projection, statements regarding macroeconomic condition and business momentum, statements regarding seasonal business trend, statements regarding the demand for our products and technology, statements regarding operational synergies relating to the company’s recent merger with Astria Semiconductor Holdings, Inc. referred to during today’s discussions as MicroProbe and statements that contain words like expect, anticipate, belief, possibly, should and the assumptions upon which the statements are based. These forward-looking statements are based on current information and expectations that are inherently subject to change and involve a number of risks and uncertainties. FormFactor’s actual results could differ materially from those projected in our forward-looking statements. The company assumes no obligation to update the information provided during today’s call. To revise any forward-looking statements or to update the recent actual results could differ materially from those anticipated and forward-looking statements. For more information, please refer to the risk factor discussions in the company’s Form 10-K for the fiscal year 2012 as filed with the SEC, subsequent SEC filings and in the press release issued today. With that, we will now turn the call over to the CEO, Tom St. Dennis. Please go ahead.
Tom St. Dennis: Good afternoon. FormFactor reached several critical milestones in the second quarter of 2013. For the first time since the fourth quarter of 2007, we generated positive operating cash flow. In the past five and a half years, the company has had to work through dramatic changes in our market. The fundamental restructuring of the company and its products, the transformative acquisition, all [inaudible] dropped working to drive significant improvements in operational performance. The employees who have contributed this turnaround should feel very proud of this significant accomplishment. Our Q2 non-GAAP earnings where within $300,000, a breakeven, at $62.7 million of revenue. While sure to breakeven, it demonstrates the significant improvements we’ve made in product cost as well as operating expenses. We shipped our first copper pillar probe cards rolling production of 110 micron pitch wafers to multiple customers during the second quarter. While copper pillar is still in the early phases of adoption for Mobile SoC products, these early wins reflect a significant experience the company has and the leading MEMs technology that FormFactor can deliver to our customers. From a markets perspective, the second quarter was very dynamic and appears that will continue in the Q3. The reported 11% decrease in PC shipments had a significant impact on both our SoC and DRAM business. The delayed or extended product cycles for smartphones and personal computers as well as reduced demand for premium smartphones has also slowed our SoC business. The demand for DRAM probe cards did improve as our customers benefited from higher DRAM prices and increased demand related to mobile computing. The increase in mobile DRAM demand was reflected in our business with 56% of revenues driven by mobile DRAM. While smartphone and tablet demand increased, those increases were offset partially by the sharp drop in PC-related DRAM demand. Our flash market revenue increased quarter-over-quarter reflecting specific customer buying patterns. Since we only serve a small portion of the non-flash market, we don’t believe our revenue changes reflect the overall market demand. The demand for probe cards serving the automotive industrial markets appeared to be improving after a period of decline. While those markets are not as dynamic as the mobile computing market, it is reassuring to see them improved as they’re a part of the overall revenue foundation of the company. The second half of the year has been full of challenges in the past two years, so we remain cautious about the six-month view of our business. With respect to the third quarter, we expect the same market trends of slowing PC sales and reduce growth for premium smartphones to continue. The third quarter will benefit from some key product cycles in the mobile computing market and the continued growth of low- and mid-range smartphones. Overall, the advanced probe card market continues to provide growth opportunities perform factor. The mobile computing market is driving growth for DRAM probe cards that’s helping to offset the decline in the DRAM demand from the PC market. Mobile computing is also driving new IC package solutions in the form of copper pillar packaging. We expect this trend will deliver double-digit growth rates for probe cards in this new segment over the next few years. This quarter’s results show there are actions to improve our operation performance and cost structure, our delivering bottom line results that are the best in over five years. As the semiconductor industry strengthens, FormFactor’s market opportunity will grow enabling us to deliver improved cash flow and profitability. With that, I’ll turn it over to Mike Ludwig to review our Q2 performance and provide our Q3 guidance.
Mike Ludwig: Thank you, Tom, and good afternoon. Revenues for Q2 were $62.7 million, an increase of $10.1 million or 19% compared to Q1 2013. Revenues in the second quarter increased in all markets. SoC revenues in Q2 were $27.5 million, an increase of $1.1 million or 4% from Q1. Similar to Q1, revenues from mobile processors and parametric testing increased in Q2 but revenues from SoC devices for PC has decreased in Q2 consistent with the continued double-digit decline in PC unit volume. In addition, we experienced some growth in our SoC wirebound business from industrial and automotive applications. Second quarter revenues for DRAM products were $26.7 million, an increase of 21% or $4.7 million from our first quarter. The increase in DRAM probe card demand resulted primarily from stronger mobile demand. Revenues from mobile device probe cards increased to $15 million or 56% of our DRAM probe card revenues compared to $8.5 million or 39% of DRAM revenues in Q1. A continued strong DRAM pricing environments throughout the second quarter also contributed to a healthier DRAM probe card market. Flash revenues were $8.5 million for the second quarter, an increase of 102% from the first quarter. NOR Flash revenues increased by $3.6 million in the second quarter and non-flash revenues increased by $0.7 million compared to the first quarter. Second quarter GAAP gross margin was $16.4 million or 26.2% of revenues compared to $9.1 million or 17.2% of revenues for the first quarter of 2013. GAAP expenses in Q2 included $0.6 million for stock-based compensation and $3.4 million for the amortization of intangibles including $0.3 million of expenses for inventory and backlog written up in the acquisition and sold [ph] in Q2. For the non-GAAP basis gross margin for the quarter was $20.5 million or 32.6% of revenues compared to $13.7 million or 26% of revenues for the first quarter. The fall-through rate of 67% on the incremental revenues was higher than our model rate of 60% due primarily to a favorable product mix compared to the first quarter. Non-GAAP gross margin for the second quarter also benefited from the increase manufacturing efficiencies and lower inventory reserves for excess inventory. Our GAAP operating expenses were $24.9 million for Q2 2013, a decrease of $4.7 million compared to Q1. Reduction in GAAP operating expenses in Q2 resulted primarily from the reduction of $3.9 million restructuring expenses compared to the first quarter. GAAP operating expenses in the second quarter included $2.5 million for stock-based compensation and $0.8 million for amortization of intangibles. Non-GAAP operating expenses for the second quarter were $20.8 million, a decrease of $0.6 million compared to the first quarter. The decrease in non-GAAP operating expenses in the second quarter was due to the full impact of restructuring actions taken in the first quarter and decreases in outside service expenses. In the second quarter, the company recorded a cash expense of $0.2 million compared to a tax benefit of $0.2 million in Q1. The Q1 tax benefit included the reinstatement of the R&D tax credit for 2012. Basic weighted average shares outstanding for the second quarter increased to 54.1 million shares, compared to 53.7 million shares in Q1. Basic GAAP loss per share was $0.16 in Q2 compared to a loss of $0.37 per share in Q1. Non-GAAP loss per share was $0.01 in Q2 compared to a loss of $0.13 per share in Q1. Cash comprised of cash, short-term investments and restricted cash ended the second quarter at $155 million, $1million higher than Q1. As Tom mentioned, Q2 was the first quarter of positive cash flow since Q4 of 2007. Similar to our non-GAAP gross margin discussed earlier, our second quarter cash flow was slightly better than our communicated financial model. Q2 cash flows were assisted by $1.3 million of collections from the working capital adjustment resulting from the MicroProbe acquisition. In addition to being cash flow positive, the company also generated positive EBITDA in the second quarter of $2.5 million, another highlight of our second quarter. Here are some other financial details. Our depreciation and amortizations in the second quarter was $7.2 million including $2.7 million for depreciation and $4.2 million for amortization of intangible assets resulting from the MicroProbe acquisition. Our capital additions in Q2 were $2.6 million compared to $2.7 million in Q1. Our stock-based compensation expense for the second quarter was $3.1 million compared to $3 million in the first quarter. With respect to Q3, we expect to see market conditions consistent with the second quarter including stable DRAM pricing, a strong mobile DRAM environment, a soft PC environment and slower growth for premium smartphones. As such, we expect third quarter revenues be in the range of $65 million to $69 million. We expect the non-GAAP gross margin to be in the range of 32% to 35% for the third quarter, non-GAAP operating expenses to be approximately $21 million to $22 million, in Q3 cash generation, a breakeven to a positive $2 million. With that, let’s open the call for Q&A. Operator?
Operator: (Operator Instruction) And our first question comes from the line of Patrick Ho from Stifel Nicolaus. Please go ahead.
Patrick Ho – Stifel Nicolaus: Thank you very much and nice quarter and finally generating some cash. Maybe, Mike, first question for you, in terms of the gross margin, you guys performed pretty well in the last quarter and you’re giving another uptick in terms of the September quarter. I know there’s a lot of moving pieces and variables, which one is do you believe is the biggest influences are going to be just the simple revenue growth and absorption or product mix is going to also help you in the third quarter?
Mike Ludwig: It’s actually both. So certainly increased volume helps quite a bit with respect to absorption of fixed overhead. So that’s going to be apiece. I would expect that the product mix is going to be fairly similar. We may get a little bit of benefit from a small increase and bigger increases and SoC would actually provide a bigger uplift as well.
Patrick Ho – Stifel Nicolaus: Right. Maybe then moving to the capacity situation with you guys internally. I know that you’re still trying to fill up some of your facts. What kind of revenue levels do you feel you need to get to the more optimal absorption levels that you’ve had in the past? What type of revenue levels are you looking for?
Mike Ludwig: I would say, Patrick, we’re actually getting pretty close, I would say, that the factories are now running probably close to 70% utilization, 70%, 75% utilization. So I’ve actually think that from that perspective, we’re doing well. I think we have probably sales value capacity of somewhere in the ballpark of probably $75 million, $80 million. So the closer we get to that obviously the more optimum our gross margin is going to be.
Patrick Ho – Stifel Nicolaus: Right. Final question, maybe Tom, bigger picture in terms of the adoption of copper pillars. We started to see some devices adopt that technique. I guess what’s going to be the next catalyst or what’s the driver for increased adoption because there are some issues out there in terms of cost and the transition there. What’s going to be the key driver to get a wider spread adoption of this process?
Mike Ludwig: Well, it seems to be behind it as there’s a substantial cost savings for customers to get through it. So I think it’s a matter of customers working through their specific devices and working through kind of their package engineering and implementation on it. As we said we have the first kind of multiple customer volume shipments here in the second quarter. Still that production needs to ramp up. I would expect those devices to start shipping in higher volume in Q3. And there needs to be some infrastructure in the OSEP [ph] and things like that I think to ramp this up. But I think right now the customer motivation is there. It’s a matter of them working through the engineering on it right now.
Patrick Ho – Stifel Nicolaus: Right. Thank you very much.
Operator: Thank you. And our next question comes from Vernon Essi from Needham & Company. Please go ahead.
Vernon Essi – Needham & Company: Thank you and congrats, this is a very strongest margin and guide as well as revenue. It’s nice to see things turning around here. I was wondering if you could, I guess, Mike, expand a little bit more on the OpEx side. It seems like your guide is about what you would expect. But it seems that you came in even a little bit though in the second quarter. And I’m wondering what might be the moving pieces there to bump that up a little bit on a sequential basis.
Mike Ludwig: Yes. So actually we were slightly better than what we had guided. We have the full impact of the actions that we took in Q1 certainly benefit us in Q2. In terms of what probably increases in Q2 relative to Q1, it’s probably if we perform like we expect to perform than I would expect to see a little more incentive compensation being accrued for as a result of better performance. So, that’s probably I would suggest the only thing that’s probably is the difference between Q2 actual and a Q3 guide.
Vernon Essi – Needham & Company: And would you say that the OpEx are pretty much, I guess, rinsed out as far as cost improvements are concerned? I mean it’s probably always cost improvements on your end of things, but do you think you’re getting towards the end of what you think you can squeeze out of that?
Mike Ludwig: Yes, I think. Like you said, we’re always going to be looking to be more efficient at what we do. But I think generally the most significant actions have taken place.
Vernon Essi – Needham & Company: Okay. And then just moving on to the revenue guide, and Tom you had a lot of different pieces to the puts and takes of what went in to that. But I was wondering if you could just expand a little bit more on the mobility front as it relates to SoC? And what sort of formulated into the guide itself. In other words, obviously there are some big customers that are out there that could be ramping at any moment. And how much of that are you looking to grab into the second half of the year versus – it’s a possibility that could push out. Can you just kind of talk about that a little more?
Tom St. Dennis: Well, it looks like the supply chain is ramping up now for some September product launches and shipment. And then I assume that a ramping volume as they go into October, November, and all that. I’d say there’s been some mix signals on this. When I said it was dynamic, what I mean by that is there’s been positive, but there’s also been pauses and slowdown and all the rest as we’ve kind of sorted through things. In the last couple of weeks, I’d say it tick back up again. It looks like there’s maybe been some increases and the expected volumes as we have some customers come back around both on memory and on SoC in the last two or three weeks indicating that they needed some more capacity on that. So right now, third quarter smartphone tablet shipments, the new products that are going to get introduced there are driving things ahead. I’d have to say that by everything we see, the low and mid-range smartphone demand from China. The demand that’s being put on the memory customers remains consistent there, I guess. I wouldn’t say it’s booming, but it’s still relatively strong. So it looks like that is in place. And then as I said, I think that it doesn’t appear that there’s any catalyst on the horizon here on the PC front. It seems to be kind of skating downwards. And I think we’ve really gone through an infliction where DRAM has been a PC driven thing. And today it’s a mobile computing driven portion of the market and is growing as a bigger percentage, anyway, of our overall DRAM product shipments. Just with the one note that it does look like the spot price on the commodity DRAM has been eroding here for the last few weeks. And so, that’s kind of another little bit of a down cycle there, I guess, or down draft.
Vernon Essi – Needham & Company: Right. And you sort of thought into the other question I wanted to kind of dig into a little bit and that’s on the DRAM split there. And so it’s fair to say that in this guide you’re giving, you’re not really looking for any considerable lift or even reasonable lift in the PC market, on the DRAM front. You’re seeing all this demand on the mobile side.
Tom St. Dennis: Yes. Right now we would assume that DRAM demand goes down this quarter for PC.
Vernon Essi – Needham & Company: Got it. And by the way, great job on that, the mobility side jumps quite nicely sequentially. So, that’s all. Thanks guys.
Mike Ludwig: Thanks, Vernon.
Operator: Thank you. And our next question comes from Jim Covello from Goldman Sachs. Please go ahead.
Jim Covello – Goldman Sachs: Great guys. Thanks so much for taking the question. I appreciate it. I guess first question. When you think about going forward, obviously you just give the commentary about kind of the views on the PC DRAM market. When you think about mobile DRAM versus unit growth of that market, content for box growth, if you will, on that market and then your share gain potential particularly at one big customer, how would you rank order given growth opportunities between smartphone unit growth, content for box growth, if you will, and then shared gain potentially at a big customer?
Mike Ludwig: Well, I think content for box kind of wants it because the volumes are so darn high. So I think that’s one pretty constant driver for growth overall for us. I do think that getting our self in a position where we’re serving all of the mobile DRAM manufacturers is probably the biggest near term incremental revenue opportunity for us. So that would make a significant difference I guess or would make a meaningful difference in our quarterly revenue there. But in terms of kind of the long term, you look at 2014 and all. I do think that the content for box would be a pretty big driver there.
Jim Covello – Goldman Sachs: And then how do you handicap the opportunity to kind of hit the track, if you will, on picking up the additional big customer and mobile DRAM?
Mike Ludwig: Handicap it, in terms of what’s my confidence level or whatever on that?
Jim Covello – Goldman Sachs: Yes.
Mike Ludwig: Jim, I think I hate to speculate on that. I think for my standpoint, I prefer to report what we’ve accomplished versus speculate it about what we’re going to do. Obviously, it’s very important to us we’re all in on it. Good progress. I’d say good progress so far. But more important milestones to close out and there’ll be stuff that we’ll know it before the end of the year.
Jim Covello – Goldman Sachs: Thanks. I appreciate it. Good luck.
Mike Ludwig: Thanks.
Operator: Thank you. And our next question comes from Terence Whalen from Citi. Please go ahead.
Terence Whalen – Citi: Hi, good afternoon. Thanks for taking my question. This one relates to the foundry business. As we look at the foundry market broadly, a lot of protest has been done in the house. My question is as we move to things like copper pillar, what’s the prospect for that being externally done versus internally done? Thanks.
Mike Ludwig: Well, internal, external is going to be a choice of fabulous or of the IC designer and the product donor on it. There is a blend of foundries doing some of that copper pillar processing as well as OSEP [ph] doing copper pillar processing. And that ends I think being a commercial technical choice that IC companies have to make sure that they’ve got multiple sources of supply and they also use it to manage the overall commercial part of that. Is that specifically what you’re talking about, Terence?
Terence Whalen – Citi: Yes, that’s right. Thanks. That’s helpful. The follow up question I have is, it sounds like the outlook incorporates some deceleration that we’ve seen and some inventory correction at customers in the smartphone market. Perhaps the way to ask the question is two to three months ago, prior to seeing some inventory correction both through the supply chain, what would have been a revenue outlook prior to incorporating the inventory correction? I’m just trying to understand the differential incorporated in the revenue guidance because of the recent inventory correction stand. Thank you.
Mike Ludwig: Yes. The numbers that we were looking at were probably midpoint of the range, high 60s to low 70s. So 69, 70, I don’t know, quite 71. But certainly, between 68 and 70, I’d say, would have been kind of what we were looking at. But as we’ve gone through the last couple of months, and just all of the inventory corrections, as you said, I think there was month or so ago there was kind of a relatively high profile article that got out around communication or alleged communication from Apple to their suppliers going from 115 to 120 million iPhones in the second half of the year down to, like, 90 to 100. And some of those things certainly have shaken through the supply chain and adjusted or impacted what people’s guidance and plans were there. So it’s taken it down 5%, $2 million to $4 million probably from what we were thinking.
Terence Whalen – Citi: Okay. That’s very helpful to understand about magnitude comment. And then my last question is regarding fourth quarter, is it too early to have a defined view on whether fourth quarter has any possibility of being up or we expect it to be sort of modest seasonally? Any sort of early indications or thoughts in fourth quarter? Thanks.
Tom St. Dennis: Right now, I think the best that we could say is we would expect it to behave seasonally, which should be down relative to second, third quarter as the fourth quarter and the first quarter are seasonally down; second, third quarter seasonally up. As I said, the last couple of years, the second half of the year has been full of challenges. If not, just outright surprises and market collapses. So I’ll have to turn to you with a broader view of the world in the electronic industry to speculate about what’s the likelihood that we get something that’s a big dislocation or change there. The one thing that does seem going on this year to me is that it does seem like the product development cycle have been extended. They haven’t been quite as frenzied, if you will, as maybe they were last year or in 2011, just in terms of kind of the volatility of the ramps and all the rest of it. The only other thing is I don’t know how long PCs are going to degrade. I think that the whole thing is exacerbated by the confusion around Windows 8 and ultrabooks and all the rest of it, and we’ll have to kind of see where all that goes. But if that came back in some meaningful way, then that might have an impact at least on some of the memory side and some of the SoC side as well. But that’d be kind of a wild card, I guess, in the second half of the year.
Terence Whalen – Citi: Very helpful. I appreciate the insight, Tom. Thanks.
Operator: Thank you. And our next question comes from Tom Diffely from DA Davidson. Please go ahead.
Tom Diffely – DA Davidson: Yes, good afternoon. So I see PC market is a little weak right now and units are down. But what’s your view on the timing of design changes for both kind of the SEC chips server in the market also just the commodity DRAM? I mean at some point I think the change designs here just through this cost?
Tom St. Dennis: Well, some of that at work today, but I do believe that in the new DRAM industry structure that the companies are being pretty effective at managing how they choose to invest in that market. And right now, the waiver starts the allocations and the transitions for mobile or where they’re putting their time in. And since prices are holding up on commodity, I don’t really think that there’s a tremendous amount of work going in to ramping volume on that. I would say that all the suppliers have got a two x-node solution from a technology note standpoint. And we’ve got the engineering development cords built for 2 gig, 4 gig, and 8 gig to support that. It turns what their yields are and all that kind of thing we don’t know. But I think when they’re ready to pull the trigger, they’re in a good position to do that. I believe that today, they’re just doing a good job of managing supply in that space to make sure that it’s profitable. And then I would guess it’s going to be on a customer by customer basis whether or not they want to pull the trigger or go to a smaller node and with the expected cost benefits of that. But it would seem that today everyone is quite focused on their mobile solutions, and that’s what they’re investing their time and capacity and technology.
Tom Diffely – DA Davidson: Okay. And on the SEC side of the PC, does it look like ‘14 more of a design change driven year with the new technology nodes for the actual processing?
Tom St. Dennis: Well, I think that will play an important role in ‘14. There have been enough announcements about some of the new – since that 3D type solutions, and apparently some significant performance with some notable design wins and things like that that are perhaps I would say the PC space, but in the mobile space, so I don’t know just exactly what that’s all going to unfold like here and at least in the second half of the year. Going into ‘14, I would think that there’s – it should be quite active as those designs get released and then some of those parts get in the market and we get some ramp and some volume on that.
Tom Diffely – DA Davidson: Okay, thanks. And then, Mike, on your guidance, I assumed that’s all non-GAAP.
Mike Ludwig: That’s correct.
Tom Diffely – DA Davidson: The margins – okay. All right. Thank you.
Mike Ludwig: All right.
Operator: Thank you. And our next question comes from Sarini Sandarjan [ph] from Summit Research. Please go ahead.
Sarini Sandarjan – Summit Research: Hi. Thanks for taking my call and congratulations on a good quarter. Do you guys [inaudible] your revenues in terms of PCs versus mobile or that is basically supposed to be gotten from your comments?
Tom St. Dennis: It’s really got to come out from the comments. We did talk on the DRAM specifically what portion of our DRAM revenue which we reported our overall DRAM revenue and then Mike gave the report out on $15 million in mobile DRAM revenues which was 56% of total DRAM revenues. But that’s the only specific information we give for mobile revenues there. And I guess you could imply that the non-mobile is PC and I think there’s also gains in servers and things like that in there. So we don’t break out PC as standalone.
Sarini Sandarjan – Summit Research: Okay. And also on your 10% customers this quarter, will micron be there in Q3 because [inaudible] would presumably be part of the micron structure?
Mike Ludwig: We certainly would expect that to be the case.
Sarini Sandarjan – Summit Research: Okay. Thank you.
Mike Ludwig: Thanks.
Operator: Thank you. (Operator Instructions) One moment, please. And I’m not showing any further questions at this time. Ladies and gentlemen, this concludes the FormFactor Second Quarter Conference Call. Thank you for your participation.